Operator: Ladies and gentlemen, thank you for standing by and welcome to the Dycom Results Conference Call. [Operator Instructions] As reminder, today's call is being recorded. With that being said, I'll turn the conference over to your host, Mr. Steven Nielsen. Please go ahead, sir.
Steven E. Nielsen: Thank you, John. Good morning, everyone. I'd like thank you for attending this conference call to review our third quarter fiscal 2013 Dycom results. During the call, we will be referring to a slide presentation, which can be found on our website, www.dycomind.com, under the heading Events. Relevant slides will be identified by number throughout our presentation. Going to Slide 2. Today, we have on the call Drew DeFerrari, our Chief Financial Officer; and Rick Vilsoet, our General Counsel. Now I will turn the call over to Rick Vilsoet.
Richard B. Vilsoet: Thank you, Steve. Referring to Slide 3. Except for historical information, the statements made by company management during this call may be forward looking and are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements, including those related to the company outlook, are based on management's current expectations, estimates and projections, and involve known and unknown risks and uncertainties, which may cause the company's actual results in future periods to differ materially from forecasted results. Those risks and uncertainties are more fully described in the company's annual report on Form 10-K for the year ended July 28, 2012, the quarterly report on Form 10-Q for the quarter ended January 26, 2013, and the company's other periodic filings with the Securities and Exchange Commission. The company assumes no obligation to update forward-looking statements. Steve?
Steven E. Nielsen: Thanks, Rick. Now moving to Slide 4 and a review of our third quarter results. As you review these results, please note that we have included certain revenue amounts, excluding revenues from acquired subsidiaries and adjusted EBITDA, both of which are non-GAAP financial measures, to our release and comments. See Slides 13 through 16 for a reconciliation of the non-GAAP measures to the GAAP measures in the slide presentation provided for this call. For clarity and to ensure comparability between periods, our comments will now address our non-GAAP results. Revenue for the quarter increased year-over-year to $437.4 million, an increase of 47.7%. After excluding revenues from acquired subsidiaries of $122.9 million, revenue grew 6.2% organically. Volume share in the third quarter were solid from telephone companies as a whole, with some companies growing meaningfully, while all carefully managed routine capital and maintenance expenditures and spending by cable customers increased year-over-year. Gross margins were in line year-over-year, reflecting stable operating trends. And despite integration cost of approximately $1.4 million, general and administrative expenses declined slightly as a percentage of revenue year-over-year, reflecting continued good cost discipline. All of these factors produced adjusted EBITDA of $44 million in the third quarter, or 10.1% of revenue. Net income of $0.21 per share for the third quarter decreased from last year's earnings per share of $0.28, reflecting a $6 million year-over-year decrease in pretax gains from asset sales, as we reduced the amount of assets we sold during the quarter as well as acquisition integration expenses of $1.4 million. Amortization expense increased approximately $5.4 million and liquidity was solid with cash and availability under our current credit facility totaling $210.5 million. Going to Slide 5. During the quarter, we experienced the effects of an improving industry environment. AT&T was our largest customer at 17.4% of total revenue or $75.9 million. AT&T grew 86.8% organically year-over-year. Revenue from CenturyLink was $62.6 million or 14.3% of revenue. CenturyLink was our second largest customer. Revenue from Comcast was $44.3 million or 10.1% of revenue. Comcast was our third largest customer and grew organically 9.4%. Verizon was Dycom's fourth largest customer for the quarter at 8.9% of revenue or $39.1 million. Revenue from Windstream was $36.5 million or 8.3% of revenue. Altogether, our revenue grew 6.2% after excluding revenues from acquired subsidiaries. This represents our ninth consecutive quarter of organic growth. Our top 5 customers combined produced 59.1% of revenue, growing 16.2% organically, while all other customers decreased 8.2%. Now moving to Slide 6. Backlog at the end of the third quarter was $2.003 billion versus $2.019 billion at the end of the second quarter, a decrease of approximately $16 million. Of this backlog, approximately $1.208 billion is expected to be completed in the next 12 months. Both backlog calculations were essentially flat sequentially, reflecting solid performance as we continue to book new work, renew existing work and look forward to substantial future opportunities. With AT&T, we renewed 3-year construction and maintenance service agreements in Georgia, Tennessee and Kentucky, as well as adding a new agreement in Kentucky. For Time Warner Cable, we secured construction and maintenance service agreements covering Maine, New Hampshire, Massachusetts, New York and North Carolina, supporting its fiber-to-the-business initiative. With Verizon, we renewed a central office equipment engineering and installation agreement for the Mid-Atlantic. From Comcast, a network betterment project in the Mid-Atlantic. And finally, we secured rural broadband projects in a number of states, including Washington, Montana, Wisconsin, Nebraska, Missouri, Kentucky, and Tennessee. Headcount increased during the quarter to 10,349. Now I will turn the call over to Drew for his financial review.
H. Andrew DeFerrari: Thanks, Steve, and good morning, everyone. As a reminder, in today's conference call materials, there is disclosure of certain non-GAAP measures, including items such as organic revenue growth and adjusted EBITDA. In the materials, we have provided a reconciliation of these non-GAAP measures to the comparable GAAP measures. Going to Slide 7. Contract revenues for Q3 of 2013 were $437.4 million, including revenue from acquired subsidiaries of $122.9 million. On a consolidated basis, approximately 88% of our revenue came from telecommunication customers. Diluted EPS for the current quarter was $0.21 per share compared to $0.28 per share for Q3 '12. Turning to Slide 8. Organic revenue grew 6.2% as result of growth within existing contracts and from increases and services derived from wireless service providers. Adjusted EBITDA non-GAAP was at $44 million or 10.1% of revenue, a 47.3% increase from the Q3 '12 amount of $29.9 million. Our overall EBITDA growth was from expansion in organic operations and contributions of our recently acquired subsidiaries. Depreciation and amortization were up year-over-year as a result of the acquired subsidiaries. And for everyone's reference, we have included Slide #17 regarding future amortization of the new subsidiary intangibles in the back of today's presentation. Interest expense increased to $6.6 million, from incremental debt associated with the funding of our December 2012 acquisition. Other income declined over $6.1 million from last year from reduced asset sales. Our year-to-date effective tax rate was near 40%, and we expect this rate to continue in Q4. Turning to Slide 9. Our balance sheet remains strong, our liquidity is robust. Cash flows during the period were dedicated to funding our growth. We ended the period with approximately $18.2 million of cash on hand, capital expenditures net of disposals were $15.1 million for the quarter and gross CapEx was approximately $16.7 million. In addition, we funded the final acquisition payment of approximately $4.2 million. On our senior credit facility, there was $123.4 million of term loan borrowings and $36 million of revolver borrowings outstanding at the end of Q3. We ended the period with full availability of $192.3 million under the facility after providing for $46.7 million of outstanding letters of credit. At the end of Q3 2013, we had approximately 33.1 million shares of common stock outstanding. On a fully diluted basis, weighted average shares were approximately 33.8 million shares. I will now turn the call back to Steve.
Steven E. Nielsen: Thanks, Drew. Moving to Slide 10. In summary, within a slowly improving economy, we experienced the effects of a solid industry environment and capitalized on our significant strengths. First and foremost, we maintained solid customer relationships throughout our markets, we continued to win projects and extend contracts at attractive pricing. Secondly, the strength of those relationships and the extensive market presence they have created has allowed us to be at the forefront of evolving industry opportunities. The end market drivers of these opportunities remained firm and are strengthening. Industry participants continued to aggressively extend fiber networks for wireless backhaul services. These services are now planned for small sales as well as macro sales. Cable operators are continuing to deploy fiber to small and medium businesses, and with increasing urgency. Some are planning to do so in anticipation of the customer sales process. Wireless carriers are upgrading to 4G technologies, creating meaningful growth opportunities in the near to intermediate term as well as planning to increase macrocell density. And finally, telephone companies are deploying fiber-to-the-home or node technologies to enable video offerings. And in fact, having one notable and very significant instance announced the reacceleration and spending over the next 3 years, a reacceleration which is already beginning to impact our business. Across all of these opportunities, we have increased profitable market share as our customers are consolidating vendor relationships and rewarding scale. In sum, we believe that our leading presence and enhanced scale enables us to take advantage of industry developments. Among service providers of our size or larger, we believe we are uniquely positioned, managed and capitalized to meaningfully experience an improving industry environment to the benefit of our shareholders. Now going to Slide 11. As we look ahead to a solid industry environment, we have expanded and enhanced our outlook in order to encourage analytical focus on those factors which most impact earnings per share on a quarterly basis, revenue and margins. Our expanded and enhanced expeditions currently reflect the following views: Continued total and organic revenue growth that services the wireless carriers remains robust; cable construction strengthens and a significant customer continues to reactivate its capital expenditures; improving margin trends as legacy performance remains solid and integration activities continued at our acquired subsidiaries; G&A, which remained steady as a percentage of revenue, including near-term integration expenses; depreciation and amortization which approached $25 million in Q4 of '13, but stepped down in Q1 of '14, as amortization of intangibles declined from $7.1 million in the fourth quarter to $5.2 million in the first quarter of '14; interest expense of $6.7 million quarterly, reflecting near-term cash expenditures to support current operations; other income from assets sales of approximately $800,000 to $1.3 million per quarter; approximately $34 million fully diluted shares for the fourth quarter of '13, with shares gradually increasing in subsequent quarters, reflecting the future vesting and value of employee equity awards; liquidity, which remains ample, supported in part by outstanding revolver borrowings, which increased slightly through the fall of this calendar year due to seasonal factors; and finally, we are confident that solid operations will continue for a sustained period. Moving to Slide 12. More specifically, for the fourth quarter of fiscal 2013, we anticipate revenues, which are expected to range from $455 million to $475 million, resulting from mid to high single-digit organic growth, and $120 million to $130 million from our subsidiaries acquired during the second quarter; gross margins, which are in line on an overall basis; general and administrative expenses, which are in line year-over-year as a percentage of revenue and include ongoing integration costs; stock-based compensation, which is included in G&A of $2.6 million; depreciation and amortization of approximately $24.7 million to $25.2 million, which reflects the addition of newly acquired assets, some of which are relatively short lived; and amortization expense, which is substantial at $7.1 million during the quarter, reflecting the significant near-term amortization of acquired intangible assets; interest expense of $6.7 million associated with near-term cash expenditures to support current operations; other income of approximately $800,000 to $1.3 million; EBITDA margin percentage approaching the fourth quarter of 2012 result; and all of these factors generating earnings per share, which are currently expected to range from $0.40 to $0.47. As the nation's economy continues to slowly grow, we remain encouraged that our major customers possess significant financial strength and remain committed to multi-year capital spending initiatives, which, in some cases, they are meaningfully reaccelerating. We remain confident in our strategies, the prospects for our company, the capabilities of our dedicated employees and the experience of our management team who have grown our business and capitalization many times before. We are pleased with our newly acquired subsidiaries and look forward to improving performance as we fully integrate those businesses. Now John will open the call for questions.
Operator: [Operator Instructions] And first, we'll go to Simon Leopold with Raymond James.
Victor W. Chiu - Morgan Keegan & Company, Inc., Research Division: This is Victor Chiu in for Simon. So the general commentary that we've been hearing from service providers is that spending should reflect a more back end loaded year. Does this seem consistent with the business that you're seeing? Kind of how are you feeling about the spending environment from carriers overall, just your general feeling for the rest of the year?
Steven E. Nielsen: Well, I mean, clearly, in our case, Victor, we're seeing growth from the cable providers. It's nice to see Comcast and then, when Drew provides the rest of the top 10, Time Warner growing year-over-year. We're certainly seeing opportunities with AT&T that are not back end loaded, they're in the current period. We have tremendous growth with AT&T in the April quarter. And I would think that if you look at the progression in our organic growth and the legacy businesses from the second quarter to the third quarter, that at least for us, I mean, it is growing. And if you look at what our expectations currently are for the July quarter, we think it'll grow a little bit faster. So from that perspective, I think it's just a solid environment right now.
Victor W. Chiu - Morgan Keegan & Company, Inc., Research Division: That's helpful. This quarter, the gross margins were down slightly, just slightly year-over-year, and I think you guys were looking for flat. Can you speak about next quarter? I think you gave a similar forecast for year-over-year gross margins, similar level? So can you speak about how we should think about the gross margin level going forward, I guess, and the impact of Quanta, I guess, on that overall?
Steven E. Nielsen: So I think there's a couple of things to keep in mind. So we had said that the margin profile of the acquired companies was slightly lower than legacy. We see no reason why that, that won't converge over time, but it'll take a little bit of time. I think the other thing to keep in mind, particularly for the April quarter, is that generally, in the northern portions of the country, we had an extended winter this year compared to essentially no winter in the kind of January, February, March period of 2012. And so I think that there was a little bit of just weather-related weakness, comparing a kind of a worse-than-average winter comparing to a year ago where there was essentially no winter.
Victor W. Chiu - Morgan Keegan & Company, Inc., Research Division: Great. And can you give us the cable and telco split?
H. Andrew DeFerrari: Yes. Victor, this is Drew. So telco was at 66.6% and cable was at 21.5%. And then I'll go ahead and give the other customer information as well. Charter was at 5.4% of revenue, Time Warner Cable was 4.3%, Frontier was at 2.3%, Ericsson was at 2.1% and WilTelephone was at 0.9%.
Operator: Our next question is from Alex Rygiel with FBR.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Okay. Steve or Drew, can you quantify the percent of revenue from wireless in the quarter?
Steven E. Nielsen: It was -- in absolute dollars, Alex, it was a little better than $50 million.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Great. And when we think about your increased headcount, either sequentially or year-over-year, was the incremental increase more a function of growth in wireless or growth in wireline?
Steven E. Nielsen: They both grew substantially. The wireless business uses a little bit higher portion of the fieldwork force that's subcontracted. So I think on a relative basis to wireline, it -- the headcount was more wireline-related. But that's just a reflection of kind of how the different industries are generally staffed.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: Okay. And lastly, you referenced some new work in the rural broadband market. Is that work government-funded? Or is that work that is what you would sort of consider follow-on after sort of government stimulus from a number of years ago?
Steven E. Nielsen: There are a couple of things going on. So there are a few projects that are still follow-ons and are still funded in part by the 2009 stimulus. There are also projects that are follow-ons that are funded through traditional RUS programs. And while we haven't seen it yet, there is increasing industry commentary about the second phase of the Connect America Fund, which is not affecting this year, but I think is influencing plans for next year and '15. So I think we would say that generally, we're -- we've been pleased that there's still a fair amount of activity in the rural market, even though the funding of that has shifted from primarily stimulus -- 2009 stimulus to more ongoing sources of funding.
Operator: And we'll go to Adam Thalhimer with BB&T Capital Markets.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Steve, the AT&T contract in Kentucky, that win, was that a wireline or wireless?
Steven E. Nielsen: That was a wireline, but the wireless agreement was awarded at the end of 2011 and still has a ways to go. So this was a new footprint expansion in wireline.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: And then -- they talked about this program recently as 3-year program, and it sounded like year 1 was a little bit more wireless weighted, which you have some exposure to, but years 2 and 3 are more wireline weighted, which you have a little more exposure to. So is that kind of how you look at the progression over the next 3 years?
Steven E. Nielsen: Well, I think we're very pleased with our wireless business with AT&T. When the contract was initiated, we had kind forecast a $50 million to $100 million run rate. We exceeded that run rate slightly in the April quarter. So that's a tremendous organic growth over the last 12 months and a strong performance by our folks on that. I think on the wireline side, we are seeing an uptick in activity. I think there is a portion of that program that will require engineering and permitting. And so that's kind of the function in the first half to 3 quarters of the year, that's a real focus. And then as that work is released, then we'll see an activity in construction, although I will say that we are adding construction crews, both in-house and subcontractor, every day on that business.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Okay. And then do you work for Google Fiber?
Steven E. Nielsen: Adam, we're not going to talk about specific clients, but we're not currently providing any services there. I think we're like most of the industry that we're just evaluating that and seeing how successful that will be.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: But you do work for the incumbent carriers there. They said they're going to try to match speed. Now maybe it's just -- maybe the rollout's just too small to matter, but it does seem to be accelerating.
Steven E. Nielsen: Well, I think what Google's conversation with the industry, about 1 gigabits of bandwidth residentially is significant. We've seen this before where somebody new will emerge, try to redefine kind of what an acceptable or attractive level of bandwidth is, and the industry over time reacts to that. And I don't think that this will be any different this time than it was 10 years ago, when Verizon got involved, or 15 years ago, when the cable industry reacted. So I just think it's an ongoing elevating of what the amount of residential bandwidth that society considers acceptable.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Okay. And then lastly, I just wanted to ask about the fiber-to-the-cell work, and some of the cable companies have talked about that work's starting to tail off I think at this year. And I just wonder, I mean, is that just a natural progression of -- I mean, there's still a ton of work coming on the wireless side, but maybe for -- maybe the fiber-to-the-cell stuff was the early work and then we'll progress to something else after that. But how do you think about it?
Steven E. Nielsen: Well, I think there's been a strong growth cycle in taking fiber-to-cell sites. I think the carriers have talked about increasing deployments of small cells and fiber to buildings that will provision DAS systems, so -- and that's really just the beginning. If you look at the opportunities that we're helping Time Warner with, where they're having an aggressive program to take fiber to new small, medium and even some large businesses. So I think the catalyst will change over time, but there are continually new developments in an industry where the traffic growth is increasing at very large rates year-over-year and for decades. And so I think there will always be something that will keep us busy.
Operator: Our next question is from Saagar Parikh with KeyBanc Capital Markets.
Saagar Parikh - KeyBanc Capital Markets Inc., Research Division: I know there's been a few questions on your wireless business. Can you talk a little bit more on where you see the run rate is going forward into fiscal '14? You mentioned $15 million this quarter. Now where do you see that going into '14? And then where you guys have seen -- where you guys have taken advantage, have you been capturing additional market share or has there been scope additions from AT&T and Ericsson?
Steven E. Nielsen: Yes. I mean, clearly, the wireless industry as a whole is experiencing significant growth. We see that continuing. I think the way I think about the run rate is that it creeps up over time. But clearly, the growth this quarter was a reflection of the contract win a little over a year ago. And so it's a business where you're doing site acquisition and other early stages activities and so it takes a little while to build the pipeline, but we filled it up. I think the carriers' programs are aggressive through this year into next year and beyond. And we're not going to give guidance as to what size it is, other than to say in December of 2010, when we made our first small acquisition in this space, we essentially had no exposure and this quarter, we're on a $200 million run rate. So not a bad trend for 2 years in a quarter worth of activity.
Saagar Parikh - KeyBanc Capital Markets Inc., Research Division: You guys have definitely done a great job there. And then next question, Comcast and Time Warner Cable both grew organically year-over-year, can you just talk about what you're seeing from those guys, the strengths coming from maybe the service fulfillment side of the business? Or is it coming from fiber-related builds?
Steven E. Nielsen: It's primarily on the construction site and it relates to fiber. And the cable operators in general have been growing their fiber to the small and medium businesses, which also includes the work that they're doing in fiber-to-the-cell site, and they're growing their sales forces. If you read their earnings presentations or conference presentations, they continue to add sales force there. They're growing their businesses to the point where percentage increases are very meaningful because the base is getting larger and larger each quarter. And I don't see any reason why that won't continue, given the plans that they've laid out with their shareholders.
Operator: And we'll go to John Rogers with D.A. Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: Just a couple of things. Steve, I know you won't get into too much detail, but in terms of your visibility, at least through the end of the calendar year, are the construction schedules pretty well set at this point? Or is there a lot of work still yet to fill in?
Steven E. Nielsen: Yes. I mean, John, there's a couple of ways to think about that. So we have some programs like the Time Warner program that's accelerating, right? And then that program's evolving. It just -- it really just started this calendar year, and so we continue to see that growing. The rest of the cable industry in terms of the fiber-to-the-business, that's a sales-driven cycle. And as they are more successful, there can be more activity. I think on the AT&T side, I think as we talked earlier, we're at a solid run rate in the wireless business. I mean, that may go up and down a little bit just because of the way those programs are released. On the wireline side, as the engineering is completed, I think we see growth through the end of the year as well as the footprint expansion that we've had. And I think underlying all of this, right, is a continued sense from all of our business units with exposure to housing that while it's not a robust contributor today, every day that goes by, it's getting better. So we surveyed all of our business units as we updated this forecast. And almost without exception, across the country, people were seeing upticks in housing activity. Now, it's not clearing 200 acres and starting a brand-new subdivision, it's completing phases that were suspended in 2008 and '09. It's initiating additional phases at existing subdivisions. But it's consistent with a theme that I think we'll see all year, which is existing improved lots are going to be absorbed and at that point, the new infrastructure's got to be built. So I think generally, we feel very good about kind of the spur to housing, which has always been a good driver to our business. Even AT&T spoke last week in an investor conference, that without -- throughout their 22-state footprint, they were seeing similar things.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. And what about the -- in terms of your market share, do you have the sense that you're gaining share in this market?
Steven E. Nielsen: Well, clearly, in the wireless market, right?
John B. Rogers - D.A. Davidson & Co., Research Division: Yes, sure. But I mean...
Steven E. Nielsen: I mean, you would know -- and I think also that we've had good gains on the cable said, although we've always had strong relationships there. I think we're -- it's a good sign for us when the cable industry starts spending more in the capital side. They're very good customers where we have long relationships. And I think generally, we feel good about the programs our customers are undertaking that there's solid trends there.
John B. Rogers - D.A. Davidson & Co., Research Division: Because it seems like every time we go through these spending cycles, it seems as if there's just more consolidation in the industry?
Steven E. Nielsen: Yes, I know. I think that's true, John. And I think the issue is that the programs get larger, and clearly, our acquisition of the Quanta subsidiaries as part of that theme, the carriers, as they've gotten larger, are increasingly comfortable with larger suppliers. And our COO was meeting with one customer recently who said, continue to buy companies, good companies and then help them get better. And so I think that's kind of a validation of the consolidation theme in the industry.
Operator: Our next question is from Noelle Dilts with Stifel.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: First, it looks that the Quanta operation -- well, they're certainly outperformed my expectations. It looks like they may have outperformed your expectations as well on the revenue and profitability side. Can you talk about maybe some of the drivers of that outperformance to get better customer retention than you expected? Or are some of these costs, margin improvement initiatives working more quickly than you? In fact, can you just comment on that?
Steven E. Nielsen: Well, I think, Noelle, we've always taken a conservative approach to the business as we get them integrated into our forecasting tools. We have provided a range of guidance. They were able to outperform that. And I think we'll continue, as you've seen with the guidance we've provided for the fourth quarter is kind of a consistent run rate. It's clearly down from kind of where they were a year ago. But I think that's reflective of the amount of stimulus work that they had. And they still have a fair amount of stimulus to go for the next couple of quarters. So I think overall, we've been pleased with the businesses, and with the cooperation that we're getting from the folks running those businesses.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then can you comment on what you're expecting in terms of integration expenses in the fourth quarter?
Steven E. Nielsen: Well, we had said, about $1.4 million.
Operator: Our next question is from Christian Schwab from Craig-Hallum Capital.
Christian D. Schwab - Craig-Hallum Capital Group LLC, Research Division: Great. Solid quarter, Steve. As you look at the end market opportunities that you highlighted, can you quantify for us what is the most important one over the next few quarters? Is it wireless backhaul, is it cable, is it the upgrade to 4G technologies or possibly even deploying more fiber for video? Which of those opportunities, as you look forward over the next 2 quarters, is most pivotal to a continuation of strong organic growth?
Steven E. Nielsen: I think, Christian, they are all important. I think taking a broader perspective, we're always encouraged when our largest customer is also our fastest growing customer, particularly on the wireline side, where that increased revenue was coming through an existing infrastructure, right? So on the margin, we get better results when we just get busier inside of organizations that currently exist. I think in kind of an intermediate or even longer term, I think we're encouraged by growth with the cable companies. As we mentioned before, we have a long history of providing construction services to cable operators. As their plans increase, we think that's good for the business. And I just think, generally, we continue to see good strength out of CenturyLink with their Prism TV initiative, so a little bit hard to pick, because I think generally, things are positive, with the exception of something that we've talked about previously, which is the roll off of the stimulus. Well, I would say, I'm marginally more encouraged about rural broadband opportunities going forward than I was 3 months ago.
Christian D. Schwab - Craig-Hallum Capital Group LLC, Research Division: Right, right. And that stimulus never became what a lot of us thought it would become on '09. But I guess my last question, how strong of an uptake do you see from your conversations with the wireless carriers upgrading to 4G technologies and increasing macro sub density in the second half of the year compared to the first half?
Steven E. Nielsen: I mean, that's -- in the industry that goes through waves, I mean, clearly, there's lots of pressure, particularly around Sprint network's visions program, AT&T is being aggressive. It's kind of hard to calibrate relative importance between -- all the carriers would think it's very important. So I think it's just -- it's a growing time there. And I think we'll see, going into '14, an increasing amount of additional cell sites as they try to increase the density of the markets. I mean, the next big idea coming down the road is to move the voice traffic to LTE, and that's going to require even more cell sites. So I mean, it's just a strong time. If you look at any of the Tower Company commentary, they're pretty bullish right now.
Operator: And we'll go to Alan Mitrani with Sylvan Lake Asset Management.
Alan Mitrani: On your cash flow, it seems like, with the acceleration of revenue in the next quarter and likely a couple of quarters seasonally, it seems like the time to -- for you to delever is going to be at the end of calendar 2013 and into 2014. Can you speak out of the bit about cash flow characteristics and what you're expecting leverage to be in next few quarters?
Steven E. Nielsen: Yes, I don't expect leverage as a ratio, Alan, to go up, because I think the growth is going to be at good EBITDA margins, right? So I think what -- there's 2 ways to think about leverage, right? So one is the ratio, which we don't think goes up and 2 on an absolute basis. So I think you're right, this is historically a period of time where we have seasonal use of working capital that reverses primarily in our second quarter. And actually, on a year-over-year basis, despite some additional payments, I mean, cash was good in the quarter, and I think operating cash flow was a little better this year than it was last year. So from that perspective, I don't see anything unusual here, and I don't see leverage going up when you think about it on a -- as a ratio.
Alan Mitrani: Okay. And also from CapEx in the fourth quarter, Drew, maybe you could speak about what you're expecting for the year. It looks like you're going to be down about $10 million, $11 million on a gross basis. Just talk a little bit about that.
H. Andrew DeFerrari: Yes, Alan. I think we talked about $60 million to $65 million, and we're still comfortable at that level.
Alan Mitrani: On a gross basis?
H. Andrew DeFerrari: On a net basis.
Alan Mitrani: On a net basis, $60 million to $65 million, okay. And what about next year?
Steven E. Nielsen: I mean, Alan, we're still going through our budgeting process for the next fiscal year. And so we're not prepared to talk about it, although we don't see any extraordinary need one way or another, other than if we grow, we'll spend money and that'll be a good time.
Alan Mitrani: Okay. Can you talk about the differential between your -- I guess, you're not really calling out your charges. It seems like it cost you about $0.025 this quarter, looks like it's going to cost $0.025 next quarter. Do you expect your integration charges to be finished this fiscal year so we could start next year clean?
Steven E. Nielsen: I think we will have cost going into the end of the calendar year at '13, and they're consistent with the guidance that we've provided initially on the deal, so they're not different. It'll just take us through the end of the year to get through them.
Alan Mitrani: And are all these costs in SG&A or are there some in cost revenues as well?
H. Andrew DeFerrari: Alan, it's Drew. Those are -- the costs are in SG&A, but there's the capital component to the guidance that we gave as well. So the piece we've been giving you has been the expense component and that is also the SG&A.
Alan Mitrani: Okay. In general, I guess, you like speaking about GAAP EPS, but it seems like the differential between operating EPS and cash EPS is pretty meaningful. I realize there's going to be a bit of a step down next year. But it looks to be like $0.17 or so per quarter, excluding the charges for stock-based compensation, is my math right on that?
Steven E. Nielsen: Well, I mean, clearly, if you take the $5.5 million for the quarter, that's substantial, plus the integration expenses. Now, the integration expenses are cash. While they're not indicative of long-term expense structure of the company, so when they're completed, those expenses will go away.
Alan Mitrani: Okay. And then lastly, it seems like your estimates for Quanta for that business, for those acquired subsidiaries, I guess it started out a little slow this year, but now it seems to be picking up. Just remind me, seasonally, I seem to remember they had a much bigger seasonal component in the July and October quarters, the new guys, is that fair to say?
Steven E. Nielsen: They have a greater proportion of the business that is in the upper Midwest and then the Far West. And believe it or not, there's still a little bit of frost coming out of the ground in North Dakota, where they have some projects. So yes, there's a little more seasonality to that business than our legacy business.
Alan Mitrani: Great. And then lastly, on DSOs, it seems like there's still a lot of money tied up in there. When do you think all your integration in some of your computer efforts and other things there will start reaping some benefits in terms of getting your DSOs back to what legacy Dycom's were?
Steven E. Nielsen: Yes, that's a work in progress. There's clearly some large projects inside the acquired companies that were performed on a turnkey basis that have a little bit longer DSO and some of the rural projects with retention have longer cycle turn time. So I mean, we're not uncomfortable with any of the business, it's just going to take a little time to collect it.
Operator: And we have a follow-up from Alex Rygiel.
Alexander J. Rygiel - FBR Capital Markets & Co., Research Division: I just have one follow-up question. Can you quantify the backlog in the quarter from the Quanta businesses that were acquired?
Steven E. Nielsen: We gave you that number last quarter and it's pretty consistent, just like the total number was consistent. The mix between legacy and acquired was not inconsistent with the second quarter.
Operator: And at this point -- we have another follow-up from Alan Mitrani.
Alan Mitrani: Sorry, just as long as Alex is asking about the backlog. The reason -- last year, I seem to remember you saying that included 2 years of CenturyTel. And this year, I just want to know apples-to-apples, I realize there is some acquired backlog in there as well, but this does not include 2 years of CenturyTel, right? Can you tell us when you expect that contract to potentially renew? And what's in the backlog, so we could look at it a little apples-to-apples?
Steven E. Nielsen: Sure, I mean the CenturyLink contract in the legacy business was a 2-year contract that kicked in, in the second quarter of fiscal '12. It runs through the end of this calendar year. And between now and the end of the calendar year, we'll go through a renewal cycle. So I wouldn't expect to see that backlog refreshed much before the calendar fourth quarter.
Operator: And Mr. Nielsen, no further questions in queue.
Steven E. Nielsen: Okay. We thank everybody for their time and attention. And want to say that we really appreciate everybody's hard work this quarter, both in the legacy companies and the acquired companies. It's been a strong period of integration. Thank you.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation. You may now disconnect.